Operator: Good day, and thank you for standing by. Welcome to the Experian's Half Year Results for the 6 months ended 30th September 2025 Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mr. Brian Cassin, Chief Executive Officer. Please go ahead, sir.
Brian Cassin: Well, thank you very much, and hello, everybody, and welcome to our first half results presentation. I'm joined today by Lloyd, who will run through the financials after my initial overview, and then we'll open it up for Q&A. So we delivered very good first half results at the top end of our FY '26 guidance range, and we are on course to meet our medium-term framework objectives. Revenue, margin and cash performance were all strong, supported by significant strategic progress. Just turning to some of the financial highlights. Organic revenue growth accelerated from 8% in Q1 to 9% in Q2, averaging 8% for the first half. Including acquisitions, total constant currency revenue growth reached 12% with all acquisitions performing well. North America performance was strong and broad-based, accelerating to 12% organically in Q2, driven by client wins, client expansions, consistently improving lender activity in B2B and good results in Consumer Services. Fiscal conditions in Latin America, particularly Brazil, remain constrained by high interest rates and consumer indebtedness. The growth in H1 reflects continued excellent Consumer Services progress. And while the UK&I delivered low single-digit growth overall, Ascend Sandbox adoption among B2B clients has been excellent with U.K. Consumer Services driving growth through new products and market expansion. And EMEA and Asia Pacific delivered a solid mid-single-digit growth, supported by innovation initiatives and our stronger positioning in key markets. Revenue growth translated into EBIT margin delivery at the upper end of our expectations, up 50 basis points at constant currency and 30 basis points at actual rates. Margin expansion in North America, UK&I and EMEA and Asia Pacific offset lower LatAm margins, which was primarily driven by acquisition mix. EBIT strength flowed through to double-digit benchmark EPS growth, and we've raised the interim dividend by 10%. Cash flow growth was very strong with our leverage ratio now standing at 1.8x. I'll just touch on some of the strategic highlights in the half. The Ascend platform adoption continues to accelerate. In addition, earlier this year, we introduced new cash flow attributes and analytics in North America, and we're seeing very good client demand and B2B achieved organic revenue growth in the half of 8%. Consumer Services delivered 9% growth, reaching over 208 million free members. We continue to add more breadth and depth to our products and all of our key metrics, organic traffic, engagement continue to trend positively, reflecting the successful positioning of this business as a financial partner for our members. Our recent acquisitions are on track, delivering cost synergies and new product opportunities. We also recently completed a small fraud acquisition in the U.K., which further enhances our product portfolio and strengthens our position in nonfinancial services verticals. And finally, cloud migrations in North America and Brazil, excluding North America Health, are on track, and we expect dual run costs to peak this financial year. Our strategic progress reflects our consistent commitment to our dual-sided strategy across B2B and consumer, which is unique and which has expanded our growth potential and created new value opportunities across our priority ecosystems. We're now entering a new and exciting era driven by AI, and we're strongly positioned to take advantage of the opportunity this brings to our business. The starting point for this is our data. These data sets are vast, complex. They're constantly being refreshed. They are subject to expansive and stringent regulation, and they need to be accurate all the time. The job of creating these data assets is a huge and complex operational exercise, which relies not just on process, but also on proprietary intellectual property and significant industry expertise. They simply cannot be replicated and they cannot be accessed unless permissioned by us. Our strategy has always been not only to sell data, but to build solutions on top of our data that provide action and insight to improve client outcomes and reduce cost. Almost all these solutions require our data as a foundational input, and this is a source of huge competitive advantage to us that will grow over time. And we have a long and successful track record of doing this. The evidence is everywhere in our current solutions and our history of innovation and business expansion, PowerCurve, Ascend, the expansion of our verticals and the huge growth in our consumer businesses are all examples. Broadly, this expansion of our opportunity set have been driven by the increasing use of data to automate critical business processes to make better decisions, create better client outcomes and to lower operational costs. AI will accelerate this trend, and it is and will continue to expand our opportunities. Despite decades of investment, many client processes remain siloed, inefficient and costly. And this is particularly true when it comes to leveraging data, which, of course, has to be solved to leverage AI at scale, and this is where Experian excels. The opportunity for us remains huge, and the excitement for us is that the AI will accelerate the speed with which we can bring disruptive new products to market. Our data, our products, our platforms, our product development capability and our industry footprint gives us a strategic position that most companies will kill for, and we intend to leverage that to accelerate our growth. Now we've built strong foundations over many years to put ourselves into this position as this slide demonstrates. And just over the past few years alone, we've been proactive across the entirety of our B2B and consumer businesses in leveraging AI use cases to enhance our product sets and also to penetrate new growth areas. And we haven't just been talking about it. We already have AI products in the market. A good example of this is the Patient Access Curator product, which is driving our growth in health and redefining the process of insurance discovery. Platforms like Ascend and Activate have been specifically developed to be modular and to bring all of our data and capabilities together in one place. This, of course, is a perfect setup to allow our clients to take the maximum advantage of data at scale, both our data and their data and for us to easily introduce new functionality, both AI and conventional for our clients to test and learn and quickly implement and then put into production. Very good example of this is Model Governance, an AI-first solution, which virtually eliminates vast amounts of work related to comply with regulatory and internal improvement requirements for credit model evaluation and approval. Clients building models in Ascend can now access this module, which saves huge amounts of time and expense in what are time-consuming operationally complex but mission-critical functions. And there are many more products in development. For Ascend alone, we expect to have agentic solutions covering 5 major categories of activity this year, each category representing an agglomeration of many different capabilities or activities bundled together. And we have more than doubled that number of categories in production for '26 and beyond. I want to bring this to life for you with a Tier 1 client example. The client here is a long-term data partner of Experian, a very large global financial services provider. And we've taken them on a journey, which started with really our data and the value of our data. It then migrated into the integration of our data and our software. They used to be just a client that consume bureau data and other data sources. They also use legacy Experian software as well as competitor software and in-house systems. And these are all now moving on to the platform. Initially, they acquired our data quality tools, which helped them to actually enhance the decisioning systems by ensuring consistency and usability of their own data as well as ours. They then took the Sandbox to help them actually accelerate the insights and analytics that they can derive from that data across the entire product life cycle. And now they're looking at how to deploy models like AI Model Risk Manager. And this strategy really gives us the ability to enable more modules for clients in a managed way. It's a convergence strategy, which creates incredible performance and value for clients. And of course, it opens up new value pools for us. We showed them the value of bringing all of these capabilities into one place. They saw the benefits of this in not only just reducing the number of vendors or in-house systems, but the power of data in one place can bring to them. And this led naturally into a much longer partnership type arrangement with increased tenure, in this case, from 3 to 5 years and a substantial revenue uplift over the term of the contract period. And we can continue to grow from here by bringing new value to the table using the platform in situations like this. So AI is already helping our revenue growth and margin today. It's driving productivity improvements. It's speeding up and reducing the cost of new product development, and it is the fuel for our future investment. As we look at our addressable markets, the constraint we historically face was the time it took to develop new products to market and the time for these products to gain acceptance and adoption. And it often needs a catalyst to create conditions for change. And we believe that AI is that catalyst and that we have a huge amount of white space that is now more accessible to us than ever before. So we see continued opportunities both internally through improving productivity and many new product opportunities. In short, we're very excited about the opportunities this brings, and we're positioning our business to capitalize and we intend to take full advantage of the opportunity this presents to us. Now many of the new products that I've referenced contributed towards our successful H1. As just illustrated, Ascend platform momentum continues. The range of capabilities in the platform will continue to expand, and it now encompasses AI, data, analytics, marketing and credit services together with complex decisioning. And our progress with clients has been strong. And as the chart here shows, we've seen rapid adoption. We recently introduced new Cashflow Scores and Analytics. These combine credit data with AI-powered real-time cash flow data and categorization. This innovation strengthens predictive power scores and results in higher approvals with enhanced model accuracy. Client demand is strong here, too, and our pipeline is expanding rapidly. And we've also integrated ClearSale in Brazil, and we're commencing the launch of new products with the ClearSale acquisition, but also new propositions like Serasa+. This introduces reusable identities and has applications across both B2B and B2C. In Consumer Services, we're focused on delivering deeply personalized experiences by leveraging experience data assets. At the center of this strategy is EVA, which is already is an agentic assistant providing not only guidance, but also taking actions on behalf of consumers. Confirm Your Home uses Experian North America property data to provide home value and mortgage insights. It forms the hub for our new home vertical and leverages data from our B2B housing business. Over 2 million interactions have been initiated with EVA on our consumer services platform. And just 2 other quick examples to highlight are the Serasa+ in Brazil I just mentioned, which has consumer applications and will provide secure log-ins to third-party digital properties using Serasa credentials and the enhanced UK&I refi feature, which supports debt consolidation for consumers. And these are all small examples of the extensive product innovation road map, which is designed to drive higher consumer engagement, greater efficiency for our clients and extend us into new monetizable value pools. So let's now turn to our H1 regional performance. North America delivered strong momentum with Q2 strength driving 10% H1 organic revenue growth. Financial Services, excluding mortgage, was fueled by new client wins and client expansions amid a steady and consistently improving lending environment. In Financial Services, clients can now access credit, clarity and cash flow data through a single integration, which unlocks new potential with significant wins in a growing list of prospects. The Ascend analytical platform saw continued progress with new clients for Ascend Marketing, further Sandbox adoption and rising interest in the fraud sandbox. The Experian AI assistant has also driven cross-sell opportunities with deepened client relationships. Verticals delivered strong growth. In Health, Patient Access Curator is transforming how the industry understands a patient's insurance picture to reduce claims denials and accelerate payments. It's positioned Experian as the market leader with a first-to-market AI solution performing substantially ahead of existing products. The milestone partnership we previously discussed in Auto has expanded availability of our vehicle history reports across dealer networks, strengthening earnings quality through a long-term agreement and reinforcing our track record for innovation-led wins. And in targeting, Audigent is off to an excellent start, driving momentum in audience targeting and activation. So now I'd like to provide some comments on the recent changes to the U.S. mortgage market. The FHFA's recent decision to introduce Score Choice into the conforming mortgage market has introduced new competition and a market opportunity for VantageScore. Like many -- like in any of our markets, we believe the primary value lies here with the data as the score cannot be generated without the data. And there has been much debate on this issue of where value resides score or data, but I'll summarize it with an important data point. Roughly 50% of all mortgages in the U.S. are acquired by the GSEs. In determining whether to buy a loan, the GSEs are reliant on the data that we and the other bureaus provide. By contrast, the GAs do not rely on the FICO Score in their buying decision. They don't need it. In fact, just last week, Fannie Mae removed the minimum 620 FICO Score requirement from its desktop underwriting system and official selling guide. And just to quote Fannie Mae's selling guide, credit scores are not an integral part of that risk assessment because they perform their own analysis of the credit report data. While scores are used to help the borrower communication, pricing adjustments on the secondary markets, it's clear that VantageScore can also easily enable these use cases. Now up to now, VantageScore has not been approved for use in mortgage, largely due to inertia more than anything else as VantageScore outperforms the FICO Score currently used in the mortgage market. Where VantageScore has been used in unsecured lending and in card, auto and other nonmortgage categories, it's actually already captured substantial share, and we estimate this to be around 30% for lending originations based on our internal data. Now that it is approved for mortgage, we expect that VantageScore will gain share in the same way that it's done in unsecured lending. And we will be facilitating lender and consumer choice through the Experian Score Choice bundle and by making VantageScore available in the Ascend Sandbox. We expect this to be a long-term opportunity for Experian with a shift to VantageScore driving millions more scorable consumers and ultimately greater mortgage origination activity. As this happens, we expect our profitability to be further enhanced. But to be clear, we do not need a shift to VantageScore to protect our position in the value chain. That resides in our data and the GSEs and every industry participant knows that it is the data that matters. Now turning now to Consumer Services. Organic revenue growth for the half was 8% or 12% excluding data breach. Membership, Marketplace and Partner Solutions all contributed favorably in the half. In Membership, we're delivering new value to deepen engagement and drive upsell from across our ecosystem. We saw particular strength in marketplace as lenders compete for prospects with clients leveraging Activate to deliver credit and personal loan offers, improving their efficiency. Activate was robust across both cards and personal loans, supported by our popular No Ding Decline card feature and expanded panel. And insurance too has continued to make good progress. Turning now to Latin America. Over the past few years, we've built a superior product portfolio in Brazil, and we continue to make good strategic progress. While high interest rates and consumer indebtedness have tampered B2B growth, progress in Consumer Services has been strong. We're particularly excited by the prospects arising from the integration of ClearSale with our credit risk B2B platform. We've built a healthy pipeline for new blended fraud and credit risk products. Prospects for Ascend Analytics are also strong, alongside an encouraging outlook for our SME segment driven by client growth and upsell into advanced solutions. Despite high interest rates and election uncertainty, we're well positioned to strengthen market leadership in H2 and beyond. 18% growth in Latin American Consumer Services is a strong result, driven by our expanded opportunity and diversification around financial empowerment and leveraging our strong brand presence in Brazil. Limpa Nome performed well as consumers manage rising indebtedness. Our Q3 credit fair will further support Brazilian consumers to manage their finances. And our credit marketplace is scaling rapidly and contributed meaningfully in this half. New payroll loan offers will deepen our marketplace further to serve the 40 million-plus Brazilian eligible -- Brazilian consumers. Progress also continues in Insurance as we continue to add new large insurance -- insurers to our panel. UK&I delivered 1% organic revenue growth, which was led by Consumer Services. While not yet fully reflected in revenue performance, B2B new business achievement was good. Ascend Sandbox proof-of-value is converted into major wins and uplift renewals with leading financial institutions, including a Tier 1 enterprise partnership. More proof-of-concepts are pending and new module introductions are planned. COVID aside, U.K. Consumer Services grew at its fastest rate in a decade. We've transformed this business with an enhanced consumer experience, new features like refi for debt consolidation and by leveraging EVA. The enhanced analytics we deliver through the Activate platform has led to exclusive credit offers on our platform, and this drove strong marketplace performance. Turning now to EMEA and Asia Pacific. Organic revenue growth delivered 6% and another -- which was another solid year of progress with total revenue up 35%, including the acquisition of illion. The illion acquisition integration is on track. It drove the 480 basis points regional margin uplift. And our combined bureaus in Australia now offer a strong and differentiated consumer data asset. We've introduced the Ascend Data Hub and Ascend Ops to Australia to leverage our pre-acquisition leadership in decisioning. And with the combined bureau data now available, we have really good interest in the Ascend Sandbox. We've also advanced our technology and back-office integration while streamlining legacy and noncore portfolio elements. Regionally, organic H1 progress spanned our geographies, supported by new product introductions and leveraging our global solutions. So with that overview, I'm going to hand over to Lloyd for the financials.
Lloyd Pitchford: Thanks, Brian, and good morning, everyone. As you've seen, we delivered another very strong performance in the first half with total revenue growth of 12% at constant rates and 13% at actual rates. This was driven by organic revenue growth of 8% at the top end of our guidance and a further 4 percentage points from acquisitions. Benchmark EBIT margin from ongoing activities progressed well, up 50 basis points at constant rates and 30 basis points at actual rates. EBIT growth was 14% at both constant and actual rates. And this converted well into EPS growth with 13% at constant rates and 12% at actual rates. Operating cash flow grew 25%, reflecting a 77% conversion in the half. And our growing capital base continues to generate very high post-tax returns on capital employed of around 16.5% for the half year. As Brian mentioned, we announced an interim dividend of $0.2125, which is up 10% on the prior year. And finally, we continue to be very strongly financed with our net debt-to-EBITDA ratio at 1.8x. Turning to our medium-term framework. We're in the second year of delivery against this medium-term framework and continue to execute confidently and well on our strategic plans. And financially, we continued last year's momentum with high single-digit organic growth, strong organic margin progression and the benefits of capital discipline and deployment all being delivered in this half year. And if you look back over a longer time horizon and our performance here over the last 6 years, you can see we've delivered consistently strong financial results across all of our key financial metrics. Since FY '20, we've grown half 1 revenue at an 8% compound annual growth rate. Benchmark EBIT has grown 9% compound; benchmark EPS, 10% compound; and operating cash flow at 17% compound. And this highlights the quality and consistency of the strategic execution over this period as our business scales. Looking at more current trends, organic revenue growth was at the upper end of the expected performance range for the first half. All our regions contributed to half 1 growth with North America at 10%, 4% in LatAm, 1% in the U.K. and Ireland and 6% in EMEA and Asia Pacific. By quarter, organic revenue growth strengthened from 8% in Q1 to 9% in Q2, supported by a onetime volume true-up in the North America Consumer Services business, which added 1% to group growth in the second quarter. Looking at organic revenue growth across our segments. Here on the left-hand chart, you can see B2B organic revenue growth was 7% in Q2 with good growth across both financial services and verticals and was underpinned by client wins, cross-sell and new product innovations. North America was the key driver, growing at 11% for Q2 with 12% growth in Financial Services, 15% in Automotive and 10% in Health. Financial Services growth, excluding mortgage, was 12% with mortgage growth of 41% on modestly lower volumes. On the left-hand side is the Consumer Services trend in total and excluding -- sorry, on the right-hand side, Consumer Services trend in total and excluding our Data Breach business. As the elevated Data Breach comparable fell away in Q2, consumer growth rebounded to 12% globally in Q2 and 13% in North America. And in the yellow diamonds, you can see the strength and consistency of the underlying consumer growth, excluding Data Breach. Turning now to EBIT margin. And last year, in the first half, we added 70 basis points to margin. And this year, we delivered 100 basis points of organic constant currency margin expansion, primarily due to broad strength across the North America business. Organic margin progression has been driven by broad-scale productivity improvements as our businesses scale. We're also seeing tangible benefits from AI deployment across our business. Organic headcount is broadly flat this year, thanks to these productivity programs, whilst organic revenue grew by 8%. And we see many exciting applications of AI in our business, which can continue to drive productivity. Including acquisitions, total EBIT margin from ongoing activities increased 50 basis points at constant rates and 30 basis points at actual rates to 28.3%. On a regional level, North America's EBIT margin added 90 basis points from broad expansion across the portfolio. U.K. and Ireland added 60 basis points and EMEA and Asia Pacific expanded 480 basis points due to the addition of illion. Latin America margin contracted by 240 basis points, largely due to the temporary effect of the integration of acquisitions. And when considering our segmental margins over a longer-term time frame, here you can see that the B2B margins have been relatively consistent at around 30% since FY '20 despite the temporary dilution from recent acquisitions and cloud transformation dual run costs. As previously indicated, the dual run costs peak this year and will trend down from FY '27. And the margin from our recent acquisitions will trend to group average margin over around 3 years. Consumer segment margins have expanded from 21% in half 1 2020, reaching 30% in the first half this year, which has resulted from scaling our audience to over 208 million members and the growing breadth of our consumer propositions. Turning now to EPS, where last year, we delivered 8% growth in half 1. And this year, we've delivered double-digit growth of 12% at actual rates. Benchmark continuing EBIT grew 15% at constant currency due to strong revenue growth and 50 basis points of margin expansion at constant rates. The combination of interest expense reflecting acquisition funding and a slightly higher tax rate resulted in 13% EPS growth at constant currency and 12% at actual rates. So over a 2-year period since we began our medium-term framework, the increase in first half EPS is over 20%. Taking a look now at our usual reconciliation to statutory results. Our benchmark profit before tax grew 13% at actual rates, driven by revenue performance and good margin progression. Acquisition-related expenses increased to $32 million due to the acquisitions of ClearSale, illion and Audigent, and there was little change in the fair value of consideration on prior acquisitions and restructuring-related costs were $3 million for the half. The above items resulted in a statutory profit before tax and noncash items of just over $1 billion, representing a 12% growth at the half, which is broadly in line with the growth in benchmark PBT. Noncash items included an increase in amortization of acquisition intangibles and financing remeasurements were $92 million favorable versus a $93 million adverse in the prior year. And this swing was principally driven by remeasurements on Brazil intragroup funding, resulting in a statutory profit before tax of $975 million or 36% growth on last year. So now turning to cash flow and return on capital. On the left-hand chart shows our long-term operating cash flow and conversion metrics. As you can see from the slide, we delivered strong growth on half 1 operating cash flow, growing at 17% compound rate since FY '20. This half year, we generated around $900 million of operating cash flow at a 77% conversion rate. A key part of our framework is to continue to use our cash generation to invest in high return on capital growth opportunities. And on the right, you can see our disciplined use of capital, where we've significantly grown our capital base to around $10 billion whilst delivering consistently high post-tax returns, this year at 16.5%. Turning to capital investment. We are significantly progressed with our cloud transformation program and well on the way to our expected position of over 85% of processing in the cloud in our U.S. and Brazil businesses outside of health by this year-end. As we approach the latter stages of the program, we expect to benefit from the reduced dual run costs and lower change-related capital investment. And this will allow us to expand our innovation and AI investment activities to drive future growth, all within the financial envelope of our medium-term framework. And as we materially complete our cloud technology program, we're very strongly financed. Our key leverage measure of net debt to EBITDA was 1.8x at the half year. Our fixed debt level stands at around 60% at the half year, and we have an average tenure of 5 years remaining. And our average interest rate is 3.5% in the half. Our benchmark net interest expense guidance for the full year remains at around USD 190 million. So turning now to our full year modeling considerations, which relate to ongoing activities. Based on the strength of our half 1 performance, we now expect organic revenue growth for the full year to be around 8% at the top end of our previous guidance range. And we continue to expect a 3% inorganic contribution from completed acquisitions. Based on recent FX rates, we now expect FX to be a 1% tailwind to both revenue and EBIT growth. And beyond these points, we don't expect any other changes to our guidance. So with that, I'll hand you back to Brian.
Brian Cassin: Great. Thanks, Lloyd. So in closing, we've started the year with good momentum with strong H1 financial progress across revenue, margins and cash flow generation, and we now expect to deliver at the top end of our FY '26 guidance range. We've advanced strongly across B2B and B2C, scaling key initiatives and future growth investments. Our recent acquisitions have performed well and have integrated well, and they've strengthened our market position and give us the opportunity to unlock new avenues of growth. We're driving AI initiatives across the business with a clear ambition to lead the next wave of data-driven intelligence solutions, and our cloud transformation is on track to peak this financial year. All of this puts us on track to deliver on our medium-term financial framework. We're very well positioned to sustain our growth and to continue to generate high returns. So with that, I'm going to hand it over to the operator for your questions. [Operator Instructions] Operator, over to you.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Scott Wurtzel from Wolfe Research.
Scott Wurtzel: I guess maybe first one, just on the guidance and great to see you guys raise to the top end of the revenue guide. But with margins staying flat, can you just maybe talk a little bit about where you're maybe investing a little bit more in the business with that incremental revenue growth? And then I guess as a follow-up to that, maybe your view on sort of the structural margins within the B2B business as we kind of get through these dual running costs and lap the impact of the recent acquisitions?
Brian Cassin: Lloyd?
Lloyd Pitchford: Yes. So I think you said with flat margins. Margins are up 30 basis points.
Scott Wurtzel: I meant reiterating the guide, yes.
Lloyd Pitchford: Okay. Sorry, I understand. So look, I think we're really confident in the margin outlook for the business. You've seen -- when we put our medium-term framework together, obviously, we didn't have acquisitions to forecast at that time. Organic margin last year was up 90 basis points. First half this year is up 100 basis points. So that tells you that we have a lot of capacity to be able to reinvest and to be able to deliver on the margin commitments that we've got. You look out for the full year, we've reiterated the 30 to 50 basis points, again, very confident in that. As you look out beyond this year, the dual run costs move from a headwind to a tailwind. So that 100 basis points will come back over about 4 or 5 years. We also get back the dilution that we've had from the recent acquisitions. So last year, that was 20 basis points, this year, 30 basis points. So what you can see is that the margin outlook embedded in our medium-term framework is very well underpinned. And that gives us a lot of flexibility, and we said this at the time we outlined our medium-term framework to ensure that we're continuing to invest and innovate. And as Brian said, we see an exciting future as AI really fuels the opportunity of the value embedded in the proprietary data that we have, and we're going to be investing strongly behind that. And we can do that whilst confidently delivering our framework.
Operator: And the question comes from the line of Andy Grobler from BNP Paribas.
Andrew Grobler: Just a couple, if I may. The first one on productivity. Lloyd, you mentioned that you could see tangible benefits from AI from a productivity perspective. Could you kind of quantify what you're seeing now and how you expect that to move over the next 2 to 3 years as that develops? And then secondly, on mortgage, there's clearly a lot going on in that market at this time. What do you think is the time frame for the market, i.e., the resellers to move to the new system? And also, what are your expectations in terms of how long it takes VantageScore to be kind of fully utilized within that market?
Lloyd Pitchford: Yes. Andy, so on productivity, I mean, like everybody, we're just seeing an acceleration of the availability of tooling that can really drive productivity across the group. We have a lot of people in producing product and the ability to be able to increase capacity without adding people in that because of the use of coding deployment, auto coding generation. But looking more broadly across administrative functions, support functions, customer support functions, all of them are showing the benefit of the deployment of new tooling. And that's -- as I mentioned in my remarks, we grew 8% organically in the first half and headcount -- organic headcount was broadly stable. So that kind of shows you the potential in the group. We clearly have a lot of capability in the company is what we do to be able to deploy AI tooling, and that benefits our clients, but also benefits inside the company. So I expect that to continue, and that's going to give us a lot of flexibility, as I said, to be able to deliver on our financial framework, but also to increasingly invest in product innovation and in AI deployment for our customers.
Brian Cassin: And Andy, just coming back on to the mortgage market. Yes, there is a lot going on. On the reseller point, I think there's no kind of one answer because I think the reseller market consists of quite a lot of different players, some big ones, some small ones. Probably the big ones are able to cope with the operational changes quicker than the smaller ones. But even that's going to take a bit of time. It's difficult to be precise. I think it will differ based on reseller to reseller. But they will have to change operational processes. Obviously, in a new structure, they'd be calculating the score. They've never done that before. There's lots of requirements around that, which is ensuring that you actually have completely synced up between the actual data and the score. You have audit requirements around that for the GSEs and for their clients. You have billing that you have to set up. You have to set up processes around ensuring that you can answer any consumer disputes that come because today, those consumer disputes around the score data will come to the bureaus. If you split between the actual data and the score between bureau and resellers, you probably have a lot of customer confusion about where that liability relies. So there's quite a lot to do. And I suspect that there will be different time scales for different resellers, but we don't expect this to be very quick. I think sometime in '26 and I say, some will be quicker than others. So hopefully, that answers that question. The second part was VantageScore adoption. I think just reiterate points, I think, that have been made ad nauseam. FICO Score has been the only score available for use for 30 years. So it is embedded in the system in the way that I described when I referenced the GSEs. So it's used across the system. But I think people can move. We've seen that -- we've seen some people move from FICO to VantageScore pretty quickly in other areas. Some will take longer. So I think over the next few years, you are going to see people move. Obviously, those will be individual decisions made by lenders and so on and so forth. But I think over the next few years, you're going to start to see some of that shift.
Operator: Now we're going to take our next question, and it comes from the line of Annelies Vermeulen from Morgan Stanley.
Annelies Vermeulen: So 2 questions as well. Just coming back to AI. I just wanted to understand a bit better on how that develops into pricing of your products to customers? As you make -- as you embed more AI in these products, is that something you can price for? You mentioned that it's also reducing the cost of developing new products. So equally, is any of that being passed on to customers? I'm just wondering if there's any risk of pricing pressure as a result of AI and how you think about that? And then secondly, just on marketplace in North America, it sounded like growth was pretty broad-based across credit and insurance marketplaces. Is there anything particular to call out in terms of the driver of that in H1, audience expansion, adding more lenders? And perhaps as part of that, could you update on your expansion into home insurance and how that's progressing?
Brian Cassin: Just on the first question, I think we see AI as -- the new products that we've introduced have actually all been new functionality. So if you look at Patient Access Curator and Health, that's a new process, which really improves the insurance discovery solution for our clients. And because of the performance of that product, we're able to actually to get premium prices for that. I referenced Model Governance, which would be embedded in the Ascend platform. Again, when you look at the value equation, Model Governance is a hugely complex exercise, a lot of people involved in that, very important from a risk and compliance perspective, very costly. The extent that we automate that and take out significant costs for our clients, that also represents revenue upside opportunities. So we're in the sort of early stages of that, but actually, the evidence that we've seen so far is that this is revenue additive. In terms of the productivity benefits, we have seen those. I think what that means is that 2 really important things. One, we can build more stuff. And secondly, we can actually build more stuff, which gets to market quicker. And I think -- but there's 2 aspects to that. One is actually building the product to a point which people can pilot and test and two, making it operational. And overall, we just see that cadence of new product introduction and the ability to get them to market quicker, leveraging these capabilities is what we're focused on. Clearly, all clients will do an economic assessment of the value that's provided by any solution. That's not going to go away. People don't just accept solutions because they've got AI labeled on them. They will evaluate whether it's better, faster, cheaper or enables them to take -- bring -- take cost out of their own system or give them a better outcome. So that evaluation continues, and we expect that to be no different in the new world. But we're excited about what that does for us given the big footprint of developers we have across the business. We introduced a huge number of products every year. I think that cadence is going to improve, and I think that's really a positive.
Lloyd Pitchford: And I'll touch on marketplace. So just lending more generally in the U.S., I think we're in our third quarter of sequentially improving lending position. And you can see that in the performance of the Core Financial Services business outside of mortgage. The place that first showed up was very strong growth in Financial Marketplace inside the Consumer business, and that continues to grow very strongly. And Insurance continues to grow well even outside of the one-off catch-up that we had, which I think was helpful in the quarter, but it also reflects that the Insurance business was actually a bit better than we thought it was with the volumes that we reported last year. Brian referenced in his remarks the launch of HomeHub. So just like we launched the AutoHub where people can claim their car and then we use all of our data assets to help consumers around their car owning journey, the principle is the same around the HomeHub, including home insurance. So we'll be bringing all of the assets that Experian has around home, to bear in the direct-to-consumer market. And we'll tell you a bit more about that as that product launches analytics.
Operator: Now we'll take our next question, and it comes from the line of Simon Clinch from Rothschild & Co Redburn.
Simon Alistair Clinch: I just got 2 questions here. The first one, I just wonder if you could just clarify your assessment of the 30% market share that VantageScore has in certain parts of the market. I just want to make sure I understand exactly what you're referencing to there? And then my second question to follow up would just be on -- it's very interesting that the launch of the Cashflow Score recently. And I'm just kind of curious as to where we are in terms of the -- I guess, the bundling or even integration of consumer permission data sets with Core Credit and how that's going to really feed the innovation pipeline going forward? Because to me, that seems to be one of the more unique opportunities for Experian.
Brian Cassin: Great. Okay. Well, look, on the 30% market share actually comes from our assessment of our internal data. Obviously, we don't cover whole market, but we have a very big market share, and we expect actually that, that will be replicated across the other bureaus. So that's across all unsecured lending, across auto, across card, personal loans and so on and so forth. The biggest penetration is actually in card, which obviously is the biggest category and also in fintech. So for example, in fintech, VantageScore has over 50% market share across all fintech categories. So I think you can see that where there has been competition available, people have adopted alternative scores. And so I think you turn back then to the mortgage market where VantageScore has not been available for 30 years and now is. So I think it'd be a pretty reasonable assumption to say that VantageScore will gain market share. I think on the cash flow score point, we're very excited about this product. And I think this is kind of following what we've seen really across other territories when open banking was introduced, which is, one, consumer permission data has a role to play. The role is really an enhancement in addition to core bureau data is not a replacement. So the really powerful solutions combine the 2. And therefore, we are in a fantastic position to develop this market and to be the leading player. And frankly, we've got the best solution in the marketplace. And I think we're going to win in this category, and we're going to win very big. And the reason is because only we can really do that combination and the attributes and scores we've developed have been really leveraging consumer data that we've had access to at scale. That has a lot of resonance in the marketplace, and we're seeing a lot of client interest in this.
Operator: And we take our next question, and it comes from the line of James Rose from Barclays.
James Rosenthal: Two, please. The first one is how you think AI could affect your medium-term model. I think on one side, you've got productivity evident now, which could push you above the 30 to 50 bps or if you kept the margin profile the same, presumably revenue growth could go up if you've got faster product development or more products coming to market. So I just wonder how you think it could sort of move the needle in sort of longer term? And then secondly, I notice your -- the point you just made that you're now enhancing credit data with your Cashflow Analytics. Equifax have made some comments around offering TWN in credit reports. Just wondering whether you think there's a need to counter that and to start building your own sort of employment and verification data a bit more rapidly?
Brian Cassin: Okay. Lloyd, do you want to answer the first one in terms of...
Lloyd Pitchford: The medium-term model. Yes. I think, James, clearly, AI is a rapidly developing area. I think on the one hand, it's almost impossible to forecast all the different avenues. What you can see in the way that we've been performing is we have a lot of flexibility. And I think that's going to be important. We can't forecast out exactly how it will develop over the next 3 or 4 years, but we have financially a lot of flexibility to be able to continue to deliver good margin progression as our business scales and continue investment to make sure that we win in this new field. We have just huge embedded value in our proprietary data sets that AI will accelerate the monetization of, and we plan to invest to make sure that we can do that, and we can do that while still adding margin.
Brian Cassin: Yes. And on the -- just on the sort of employment data, I mean, as you know, we have been building our employment verification business over the last few years. And we've gotten to some significant scale in that. But I think that the main point really is just that people continue to innovate. All bureaus continue to innovate and offer solutions to their clients that they think might add additional value. The Work Number flag is one example of that. There are many others. So I think -- but I think when we look at the cash flow and the uptake on the cash flow, the interest that we've seen on that, I think that's very significant. It's obviously really significant for people at the lower end of the borrowing spectrum, more thin file and less prime customers. But nonetheless, we think it's a very significant new innovation, and we're excited about it.
Operator: [Operator Instructions] And now we're going to take our next question. And the question comes from the line of Ben Wild from Deutsche Bank.
Ben Wild: Two for me as well, please. There's obviously a huge range of discussion on AI and its potential impact on your business. But specifically on the Consumer Services platform, you talked consistently over many years about building a platform that's focused on supporting consumers and enhancing their financial lives. I know that you talked about your own internal AI assistant, EVA. But how do you think about protecting your consumer audience as consumers increasingly adopt competing AI tools? And how do you think about integrating your offer with some of these tools such as ChatGPT? And as an adjunct to the question, are you seeing any impact on active user intensity as ChatGPT penetration grows, for example? Second question is on -- again, on the consumer platform, sorry. If you look at consumer reviews for the Experian app, many consumers flag that access to FICO Scores is an important differentiator versus some of your other very large platform competitors. How important is it to retain the FICO Score offering consumer services? And is your thinking on that point evolving in light of recent events?
Brian Cassin: Okay. Well, thanks for the question. So I'll deal with them one by one. So first of all, I think on the -- first point to make, I think, on the metrics that we're seeing across our consumer business continue to trend very positively. That includes organic search traffic, which has actually increased this year, and that's really in contrast to a lot of other properties. And the reason is because of the strength of the brand. We generate a lot of traffic from our brand. That continues. That's been enhanced by the investment that we put in our brand over many years. And we think that, that is a very important point as we think about how channel distribution is going to change over time. What we've seen is a really significant increase in traffic from the AI platforms in excess of 1,000% growth over the last year. But the traffic coming from there is still very small, but it is obviously going to be a very important channel going forward. And we'll be focusing a lot of our efforts on making sure that we have the same level of visibility and profile there, which we do actually. And that's really down again to the strength of brand plus also the content and so on and so forth. So I think that's a future opportunity for us as we think ahead. On the EVA capability, I think this where this really sort of makes a big difference because that capability is able to do things which other AI agents will not be able to do. And specifically because it will be built around capabilities that will have deep access to our data and also enable them to take actions, for example, like freezing your credit report or retrieving your score or so on and so forth. So we've seen really significant engagement on that, over 2 million interactions so far. So I think we're pleased with that, and I think we'll continue to build out those propositions. So all in all, I think as we look forward, we're excited about where that goes because we think the strength of our brands, the capability on the platform continues to position us as a winner in the longer term. On the FICO Score thing, yes, that is a part of our offer. We've had that for a long time. It was introduced over 10 years ago. I think since we introduced that, there's many, many more -- much more value that we provide on that platform. So the reliance on that as a value proposition, it's still important, but it's not as important as it was, and we'll continue to evaluate all those propositions as we go forward.
Operator: Ben, any further questions?
Ben Wild: No. Not for me.
Operator: [Operator Instructions] And now we have another question, and it comes from the line of Simon Clinch from Rothschild & Co Redburn.
Simon Alistair Clinch: Sorry for sneaking just one final one in. Just a very quick one, Lloyd. Just on share repurchase, you basically -- as far as I can see, you pretty much completed your guide for the year. Just how do we think about capital allocation in the back half of the year?
Lloyd Pitchford: Yes. So we obviously update on capital allocation really once a year in May. You've seen the strength of cash generation. We finished the half at 1.8x. If we don't do any further acquisitions for the rest of the year, we'd finish the year at about 1.5x. We expect to do some other acquisitions. We've got a good pipeline. But you can see with this level of cash generation, we have a lot of financial flexibility for capital allocation. So we look forward to updating you in May.
Operator: Dear speakers, there are no further questions for today. And I'd like to hand the conference over to your speaker, Brian Cassin, for any closing remarks.
Brian Cassin: Great. Well, thank you. So that concludes today's session. Thanks, everybody, for joining us. Hope you all have a good day, and we look forward to speaking to you again in January for our Q3 update.
Lloyd Pitchford: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.